Michel Aupers: Good morning, everyone, and welcome to the Royal BAM Group Analyst Meeting. My name is Michel Aupers, Investor Relations Manager. I'm pleased to have you with us today. The meeting is hosted by our CEO, Ruud Joosten; and our CFO, Henri de Pater, who will take you through the key highlights of BAM's full year 2025 results. The presentation slides are available on our website. After their remarks, we will take your questions. I draw your attention to the disclaimer here. Ruud, over to you, please.
R. Joosten: Thank you, Michel, and good morning all. On the front page, you see an image of one of our flood protection projects in the U.K. Along the Norfolk coastline, we replaced aging timber groynes with new rock groynes, significantly strengthening coastal defenses for our local communities and the Norfolk broads. We began this project in October '24 and successfully completed it in June '25. It's a good example of the impactful work we deliver to protect people, nature and vital infrastructure. Let's start with the key points over 2025. The group has delivered a strong performance in 2025, reflecting the success of our strategy and our core strength in the energy transition, transportation and Dutch residential markets. First of all, our '25 results show a very solid top line development. Revenue increased by 9% to more than EUR 7 billion with consistent disciplined growth across both divisions. This underlines the strength and focus of our current portfolio and the progress we have made. We also delivered a substantial improvement in our adjusted EBITDA margin, increasing from 5.2% a year ago to 5.7%. This reflects our disciplined execution and our continued efforts to further lower our risk profile and drive profitable growth. In 2025, our reported adjusted EBITDA increased by 20% to EUR 400 million. And we're also proud to present a net result of EUR 211 million, a strong increase compared to the last year. All our activities contributed strongly this year, demonstrating the resilience and effectiveness of our business model. We also continue to make solid progress on our legacy projects. In 2025, we handed over the final school project in Denmark, completed the Co-op Live arena in the United Kingdom and saw the successful opening of the Silvertown Tunnel in London. In December, we started handing over the first section of the new children hospital. These milestones mark an important step in closing out our legacy portfolio and further strengthening the foundation of our company. Regarding the Fehmarnbelt tunnel project in which BAM holds a 12.2% stake, the consortium continued to engage in constructive dialogue with the clients. We expect to emerge the first tunnel element in the first half of this year. Our other key performance indicators also remained solid. We maintained a strong financial position by focusing on projects with an attractive risk/reward balance, along with effective cost and working capital management. This has resulted in a robust solvency and further strengthening of our cash position. It's good to see that our order book was maintained at a high level of EUR 13 billion. A substantial part of our recent project wins aligns with our strategic objective to expand in sustainable solutions while we remain focused on the quality of our order intake. Continuing to strengthen our safety culture remains a key priority. We made further progress in embedding our group-wide safety program, and we continue to invest in development of our people to ensure BAM remains an employer of choice. Finally, our leadership in sustainability was reaffirmed once again. We received the prestigious CDP Climate A rating for the seventh consecutive time, underscoring the consistent efforts to mitigate climate change and our long-term commitment to responsible business. Looking ahead, for 2026, BAM expects to deliver further growth in revenue and adjusted EBITDA. With that in mind, let's continue to the next slide, where I will highlight how our solid performance translated into meaningful shareholder remuneration. We intend to distribute circa 55% of our net income to shareholders. We are proposing a dividend of EUR 0.30 per share over 2025. This represents a 20% increase compared to the EUR 0.25 paid over 2024. We will supplement this dividend with a EUR 40 million share buyback. This program is supported by our strong operational performance and solid cash position. Share buybacks executed since 2023 have already reduced the number of shares entitled to dividend by almost 7% at year-end 2025. Taken together, BAM will return EUR 357 million to shareholders in the period 2023, 2026. This demonstrates the disciplined execution of our capital allocation framework and our clear commitment to sustainable value creation. Looking beyond '26, further share buybacks will depend on our balance sheet structure and the strategic opportunities available to us. We will continue to take a disciplined value-driven approach that supports both our long-term strategy and attractive shareholder returns. Now let's look at the performance of our 2 divisions. Hart van de Waalsprong is the sustainable and vibrant new city center of Nijmegen North, a place where homes, shops, workplaces and green public spaces come together. You will also find there the first energy-neutral shopping center in the Netherlands. Together with our co-developer, we delivered there 524 homes, nearly 12,000 square meters of commercial space, 2 parking garages and a high-quality public realm. The project was completed in 2025. In the Netherlands, we delivered a strong performance. Revenue increased by 8%, and our adjusted EBITDA rose sharply from EUR 161 million to EUR 250 million, reflecting a solid margin of 7.2%. This improvement was driven by the high activity level in nonresidential construction and our civil engineering operations in the Netherlands also continued to deliver strong results, and we saw excellent momentum in our housing activities. Home sales increased by 27% to 2,354 units, supported by several larger transactions with institutional investors. Overall, these results highlight the strength and resilience of our Dutch platform. Let me take you through our Dutch residential property development portfolio, where we are seeing promising traction and clear opportunities for further growth. In 2025, we invested significantly in expanding the development pipeline of our Dutch residential property activities, which now comprises around 30,000 homes. We secured an attractive development pipeline for the next years, and we reinforced our position as one of the leading residential developers in the Netherlands. During the year, we added approximately 5,500 homes to our portfolio. This included strategic positions in [indiscernible] and Amsterdam. With the acquisition of Gebroeders Blokland, we strengthened our portfolio of land positions and residential projects across South Holland, Utrecht, [indiscernible]. This portfolio includes land and building rights for roughly 2,400 suburban homes. Together, we can accelerate the joint sales, expand our combined network and optimize our project pipelines. We also see an increasing focus on large-scale area development. In 2025, the Ministry of Housing and Spatial Planning together with local authorities and market partners identified 24 breakthrough locations where construction can be accelerated, representing a potential of 150,000 new homes. Our strategic positions in or near many of these areas allow us to contribute meaningfully to faster housing delivery. In 2025, our total investment in Dutch property developed increased by circa EUR 100 million to EUR 640 million. Moving on to the U.K. division, U.K. and Ireland, I have to say. In Waterford, Ireland, we are delivering a 207-meter sustainable transport bridge, a key element of the North Quay public infrastructure project. This low-carbon pedestrian and cyclist focused crossing will connect the city center with the North Quays district and support Ireland's largest urban regeneration program. Designed with an opening span for river traffic and built using reduced carbon materials, the bridge reflects our commitment to sustainable future-focused infrastructure. In the U.K. and Ireland, we also delivered an excellent performance. Revenue increased by 10%, and the division achieved a substantial improvement in profitability with adjusted EBITDA rising to EUR 160 million. This is an increase of 40% compared to last year, and it translates into a margin of 4.7%. I'm particularly pleased that Construction U.K. returned to profitability. This reflects a disciplined project selection and solid operational execution. An important milestone was the finalization of Co-op Live, one of the most significant and complex venues delivered in the U.K. in recent years. Our civil engineering activities in the U.K. and our activities in Ireland continue to perform robustly even compared to the particularly strong year 2024. Now Henri will elaborate on the financials.
H. Pater: Thank you, Ruud, and good morning, everyone. What you see on this slide is one of our key contributions to the future of the Dutch energy system, the new high-voltage connection between Borssele and Rilland. This project sits within our EUR 367 million multiyear framework agreement with TenneT. It's a strategic investment aimed at strengthening and expanding the national electricity grid, ensuring it can support a steadily increasing integration of sustainable energy. It underscores our disciplined execution, our leadership in the energy transition and our enduring partnership with TenneT in developing a more resilient and future-ready network. As Ruud has already said, we are reporting a strong adjusted EBITDA result of EUR 400 million. And in addition to this strong result, it's also worth pointing out our strong order book of EUR 13 billion and a further improvement in our solvency, in line with our expectations. We are showing a strong cash position of EUR 0.9 billion, which is an improvement of EUR 120 million compared to a year ago. These strong results have been achieved through solid performance across all our activities and confirm that we are effectively executing our strategy. Let's zoom in on some details of our income statement. Our total turnover has increased by 9% and it's very encouraging to see that both divisions and Belgium are contributing to the top line growth, which has been achieved largely organically. Comparing our results with last year, we see an EBITDA growth of 20%. This improvement is not only based on growth in revenue, but also shows even more clearly that we are benefiting from a strong margin, in line with our strategic principles. The divestment of our remaining stake in Invesis, which was formally completed on the 25th of March last year, had no further impact on the results in 2025. Our depreciation and amortization amounted to EUR 158 million. This represents an increase compared to last year, which can be explained by our ongoing investments in sustainable modular solutions, including the further electrification of our plant and equipment and is fully in line with our plans. Our financial result improved slightly compared to the year ago, showing a result of more than EUR 10 million. And this is mainly due to a lower-than-expected interest cost in the property business, our strong cash position and the payment agreements related to the Invesis divestment. The adjusted items in the income statement related to reorganization costs, positively offset by the reversal of impairments within our property business. The tax charge amounts to EUR 38 million. This represents a tax rate of 15%, which reflects the recognition of additional tax losses to be used in the next 5 years to offset Netherlands profits. The strong result in 2025 also indicates that going forward, tax rate will gradually increase. The bottom line shows a delivered net result of EUR 211 million, which translates into earnings per share of EUR 0.81, a substantial improvement with regard to the EUR 0.31 a year ago. Let's take a look at the cash flow statement together. Our strong operating results translate into a strong cash flow of EUR 354 million. We can see that the cash flow from our working capital is slightly negative, noting that this amount includes a net investment of EUR 55 million related to investments in property. This amount is lower than the EUR 90 million we reported in the first half of this year, which can be easily explained by the higher number of transports of sold homes in the second half of this year. It goes without saying that we are very pleased with the development of our trade working capital efficiency over the past year. This percentage has improved slightly, but is now stable for the second year in a row. The net cash flow from our investment activities was limited to EUR 4 million. And the most important elements are investments in our CapEx in line with our plans of EUR 83 million, payments received in the amount of EUR 108 million relating to the Invesis divestment and the payment for our previously announced purchase of WL Winet. Next, it's good to look at the cash flow related to financing activities, which amounts to EUR 198 million. This amount consists of the payment of our dividends amounting to EUR 66 million, the purchase of shares amounting to EUR 50 million and the remaining part related to leases and a small increase in property funding. It can be concluded that our total cash position has increased by EUR 120 million over the past year to the previously mentioned strong level of EUR 0.9 billion. Let's now look at our financial position. As you can see, our net cash position after loans and lease obligations is EUR 501 million, which is an improvement of EUR 61 million compared to last year. We have just explained a slight improvement in our trade working capital, which means that we are now looking at shareholders' equity, which has increased by EUR 62 million compared to a year ago. The explanation for this is as follows: We have earned a net income of EUR 211 million. We had a negative effect of EUR 24 million related to the exchange rate. And as explained earlier, we paid a total of EUR 160 million in dividends and share buyback, and we have an effect related to the post-employment benefit obligations. Next, it's good to look at solvency, which has been further strengthened compared to last year. And finally, we can also see on this slide that our return on average capital employed has increased. This is a positive result that demonstrates strong financial effectiveness. Now back to you, Ruud.
R. Joosten: Thank you, Henri. I would like to conclude with the market trends and our outlook for the full year '26. Here, we show you a photo of Deleers in Belgium. At Project Deleers in Anderlecht, we are creating a modern vibrant district that brings living, working and learning together in one integrated development. BAM Kairos as developer and BAM Interbuild together with partners delivered a state-of-the-art school campus and childcare facilities. This project reflects our capability to shape inclusive communities and deliver long-term value for the city and its residents. We are pleased with the developments of our order book, which has maintained at a high level of EUR 13 billion. This while we continue to focus strongly on order book quality and selective tendering in key markets where we have a proven competitive advantage. Now over to the market trends. In the Netherlands, the residential market remained strong, driven by stable consumer confidence. The nonresidential market is cautiously optimistic, specifically in the education and office sector. In Civil, there are many attractive growth opportunities driven by the energy transition and the transport market. There remains a strong rationale for essential investment in energy transition, infrastructure, defense and sustainable and affordable homes. The Dutch coalition agreement, Aan de slag or Getting to Work, creates opportunities to move forward such as building faster, increasing grid capacity and improving our roads, bridges and [indiscernible]. We also see opportunities in it to achieve the goal to build 100,000 homes per year, but it does require decisiveness, clear choices, collaboration and investment. The construction market in the United Kingdom is expected to strengthen, supported by the government's continued focus on energy security. The government's 10-year infrastructure plan is ambitious and defense investment is also set to increase. The recently approved U.K. planning and infrastructure bill has the potential to accelerate approvals for major projects. In London, commercial planning activity is rising with growing emphasis on retrofit developments. In Ireland, the EUR 275 billion national development plan is expected to provide a significant boost to the construction sector. Delivering complex infrastructure projects and new homes are essential for creating thriving communities. But this requires stability, clear planning and commitment beyond short-term political agendas. Now over to the outlook for the full year. We continue our disciplined contract and risk management approach, which is a fundamental priority with our strategy to enhance our financial performance and predictability. For 2025, BAM expects to deliver further growth in revenue and adjusted EBITDA. Thank you for your time. We are proud of the set of results we've just presented to you. In our view, these numbers emphasis that our strategy, focus, reform and expand is paying off. Now let's go to your questions.
Unknown Analyst: Firstly, let me address the loss I do see in your German, Belgium and international business units. You mentioned that U.K., Ireland, Belgium did well. So it seems that you still booked a loss in Germany or international. So could you share some additional information about this EUR 9 million EBITDA loss?
R. Joosten: Yes, that is true. That line is kind of a combination of the Belgium result and some legacy items we still need to solve. In this case, one of the 2 legacy items we still had in Germany that was settled not so long ago during the year. And yes, that balances that out with the, let's say, the positive result in Belgium.
Unknown Analyst: Okay. Secondly, you made a nice improvement in the Netherlands and the U.K. There's not a Dutch construction company listed in the Netherlands making an EBITDA margin more than you do in the Netherlands. Is that something you -- is it a targeted margin for you? Is it realistic for you to also generate such a profitability? U.K. is a different story, different structure. But if I just look at your Dutch operations versus those of the Rosmalen base one, is there a major difference why you could not or should generate a similar margin?
R. Joosten: Of course, I fully respect our competitors, including our friends from Rosmalen, but it's not up to me to discuss their results. Of course, I'm here today to discuss the BAM results. Of course, we try to improve margins. We also try to improve revenues. It's also in the outlook for this year. We see good development of the financials of the Dutch division. And of course, it's very difficult to compare the exact mix of activities with the different companies. So that's maybe a game I'm not going to play. So I look at the individual, let's say, segments of our business and try to maximize results there. I see a lot of opportunity to increase revenue and to look at profitability. Of course, this year, we also had a good growth in revenue. So that's also the balancing act of looking for attractive projects with higher margins and lower risk. So that's a balancing act we are playing. I'm really happy with the 2025 results because we saw this organic growth in the division with improvement of the margin. And of course, we are aiming further margin improvement going forward also for the Dutch division. Also one of the reasons why we invest heavily in property. In the last year's financials, you see a big increase in investment in property, normally leading also to a higher margin in the balance. But there are a few thoughts, I think, on looking at our margin.
Unknown Analyst: You sold much more homes than what you indicated because you expected more or less -- the guidance was more or less flat, but you clearly beat that number. Has home sales been brought forward into this year? And are you also willing to provide a guidance for what you expect for this year, excluding this Blokland acquisition?
R. Joosten: Yes. Of course, also selling of homes is kind of a mixed bag of homes over the year. You have the -- that's more, let's say, out of the city homes, family homes, but you also have a lot of -- and that's getting more important in the Dutch market, apartments, smaller apartments as well. And you saw that in the last part of the year, our sales numbers were heavily impacted by some deals with investors, a few bigger deals that gave a real push to the number of homes in the last quarter, especially. So no, we brought nothing forward. That are deals that are developed over a longer period and then they appear at the moment -- in this case, at the end of the year, pushing the end of the year. And then that leads to a big increase, can be a few deals that can make a difference of hundreds of homes. So we are very happy with the development. More importantly, of course, we are investing strongly in property to have a structural increase of our home sales for the next years. The Blockland acquisition was important in that sense as well, leading to approximately 200 additional homes a year. So looking for these kind of opportunities is important to have a structural increase of the number of home sales.
Unknown Analyst: And then lastly, for the moment, I think this one is for you, Henri. We do see depreciation edging up quite a bit lately. It has not so much to do with your capital expenditure in tangible and intangible assets, but much more to the lease liabilities. So could you provide some guidance for this year, what we should expect for CapEx and lease liabilities and depreciation.
H. Pater: Yes. If you're talking about the depreciation, indeed, as you compare it to a year ago, an increase, but it was also based upon temporary site accommodations, which were required by the client and causing a higher depreciation and a specific element in our energy sector. We are expecting for 2026, you're talking about CapEx more or less similar numbers like we are now reporting for 2025 and the same for [indiscernible] as well.
Martijn den Drijver: Martijn den Drijver, ABN AMRO. I would like to start off, as I usually do with the guidance. You mentioned in the press release, earnings visibility continues to improve, solid high-quality bidding pipeline, continued discipline. If I take out the claim settlements in Germany, your EBITDA margin was closer to 6% than the reported 5.7%. So I was wondering what is keeping you from providing an update on your medium-term targets? Is that the usual under-promise, over-deliver bump strategy? Or are there other elements at play?
R. Joosten: No, that is clearly part of it. We like to be very predictable in that sense on how we communicate, especially at the beginning of the year. So normally, in this meeting, we are always a bit cautious on giving an outlook for the whole year. And then during the year, based on performance, we will give you more detail in the outlook. That's what we do every year. And in that sense, we like to be predictable going forward. On the other hand, indeed, we are in the last year of a 3-year strategic cycle where we promised the market a 4% to 6% margin window and more than EUR 6 billion company. In 2025, we delivered already EUR 7 billion and almost 6%. So that brings us into the situation where we have to rethink strategy going forward. And that's what we are doing now. So probably by the end of the year, early '26, there will be a new strategic window announced to the market with our new strategic financial targets for the market as well, including capital allocation strategy for the years to come. So we try to keep -- to stick to that kind of rhythm every 3-year, let's say, an updated strategy. Of course, we're happy to see that we already touched our targets in 2025, but it's no reason now to jump to conclusions. For this year, we are rethinking our strategy. It is working over the last couple of years with big improvement. Also happy to see that our shareholders are profiting from that too with the biggest increase, the most successful share in the mid-cap last year. I think they are seeing that this strategy is working. And of course, we try to, in that sense, under-promise and over-deliver again also for the next phase of the strategy. But we're doing our homework for that right now.
Martijn den Drijver: Got it. Then my second question is on BAM Construct U.K. Would you be willing to share -- if you take out the facility management part and the property development part, but roughly, you can use ranges if you like, on how that unit has performed in 2025 relative to 2024 just so we can get a bit more clarity there.
H. Pater: Yes. So back in the days of the first half of 2025, we already achieved a positive result in that Construct U.K. arena. In the second half of 2025, it improved further. And if you take out the revenue related to facility management and also the EBITDA part of that, then the difference is roughly 0.2%. That means that Construct U.K. on its own is already delivering a very strong result, and we are expecting a further improvement in 2026 as well.
Martijn den Drijver: That is indeed a strong performance. And just one follow-up, a tiny one on [indiscernible] question. I think this settlement in Germany was the final one, right? With this settlement, the whole BAM Germany warranty element is gone?
H. Pater: There were 2 settlements. First of all, it was related to an old project like we discussed and also explained in the first half of 2025. And the second one was indeed related to BAM Deutschland entity, and that was the so-called SPA share result mechanism together with the buyer. And then there is still a receivable in our balance sheet, which is also explained and disclosed in our annual report, which we are discussing with the customer from -- back in the days in terms to solve that topic as well.
Martijn den Drijver: Got it. Okay. And then on the Civil U.K. performance, maybe we've gotten a little bit too enthusiastic. But I was wondering if you could clarify why the EBITDA margin actually performed the way it did. The U.K. civil engineering market is quite buoyant, but yet the EBITDA margin declined year-on-year. Can you explain that to us? What happened there?
Unknown Executive: Yes, I can start and maybe you can help me [indiscernible] of projects [indiscernible] projects.
R. Joosten: Sorry for that. I was just saying it has to do with the phasing of big projects. In '24, we had some finalization in the mix more than in '25 where we started up some of these bigger projects. And then you can see that in the finalization of a project, normally the margin goes up. And in the beginning, there's a more conservative look at these projects. So in the mix, it looks like a negative development, which is absolutely not true because we see in the order book going forward an increase in margin for these projects. But that's how we, in IFRS used to, let's say, estimate these results of these projects. I see fantastic revenue growth over the last 3, 4 years. I think it doubled the business almost, the Civil engineering U.K. So it's a star performer in the group. But I think that's a bit the explanation. But Henri, I'm looking to you as well...
H. Pater: That's the complete story indeed. I'm really pleased also with the developments over there as well. And the difference between 2024 and 2025 is roughly EUR 10 billion. On that high level of revenue, that's quite normal and normal pattern also in this business.
Martijn den Drijver: Got it. And then one question on industrialization, BAM -- BAM Flow. First part of that question is, did it contribute positively to EBITDA in 2025? And my second question is, how should we think about that activity going forward?
R. Joosten: Yes. I think in all honesty, that is still a development, let's say, part of the strategy. We started up the factory late '24, I think. So we were really in the market in '25 for the first time with, let's say, real homes. So it's not an EBITDA contributor at this moment in time. That will take probably this year to get to that kind of numbers. You need to, of course, also convince the market that these are fantastic homes to live in. We have now several people living in these homes, and they're pretty excited about it. But it takes some time in a country where people are very much used to concrete and stone houses. Of course, you need to take some time to change that kind of conservative issue, if you can call it like that, attitude towards these houses. We are convinced that these houses are, let's say, more convenient to live in from an atmosphere point of view. But it takes some time. And it's not, let's say, financially a big issue. Of course, we want to make it EBITDA plus as soon as possible. But for the long term, it's really important to build these more sustainable homes that indeed take out CO2 from the air instead of emitting CO2 into the air. And yes, I think that is a big opportunity. And of course, we are not the only ones in the market to do that. And together, I think we will develop that culture in a positive way and get these homes in the market as soon as possible.
Martijn den Drijver: Just one short follow-up. Is there any other industrialization plan ongoing that we should be aware of?
R. Joosten: Yes. I think it's a broader item in all construction. So also looking at nonresidential, you see that more and more, let's say, parts of the building are industrialized and coming from factories before they are installed into, for example, the new ABN AMRO office that you saw is coming, you see parts of that coming from suppliers from their factories directly. It also has to do with all kind of cables, for example, cable channels that come from factories, you don't see that, but it's all industrialized. It comes, let's say, ready-made into the building and is then installed. So this is a more broader development also in infrastructure, apart from only the wooden homes.
Simon Van Oppen: Simon Van Oppen, Kepler Cheuvreux. I have a follow-up question on Construct U.K., good development there. And you mentioned project selectivity. Could you please give some more color on what drove this strong development also in terms of project selectivity and how this is progressing into 2026?
R. Joosten: Yes. Let's say, after the disappointing results earlier '23, '24, we decided to reshape the strategy for Construct U.K. cost-wise, but also strategy-wise, much more focused on, for example, education and health care in the U.K. going from midsized projects with now and then, let's say, a special in the commercial field. So that portfolio is now much more clear, way to go for. And luckily, the U.K. government is investing heavily in these frameworks as we call them, for health care and education, where we are, let's say, participating in for the long term. So it's partly looking for that new portfolio that gives us the trust and confidence that margins will go up in the near future. And it was also, let's say, finalizing some, let's say, legacy projects that we still had where Co-op Live, I think, was by far the most important one. Now that combination of profitable projects, cost drive and ending Co-op Live led to the performance in 2025. And you see indeed, like Henri is saying, an improvement in the second half of the year. So indeed, getting to a more normal profitability already in the second half. And we trust that, that will then increase in this year as well.
Simon Van Oppen: And could you share roughly how much education and health care within Construct U.K. makes up of that specific division or what you are targeting to achieve?
R. Joosten: I don't think we have that percentage on hand. We have to look that up.
H. Pater: Yes. But I think it's mainly looking back education at this moment in time and some commercial wheels.
Leontien de Waal: Leontien de Waal, ABN AMRO. A few questions from my side. First one is defense and energy security opportunities. You mentioned them both for U.K. and the Netherlands. Are there any difference in, I would say, margin perspective concerning those opportunities?
R. Joosten: Difficult to say. I think the defense is probably a different segment than the energy security segment of our market. In Defense, it's also a very wide range of activities. I think there's still a lot of development to do to get that really developed by governments and bring it to the market. We're already doing some important jobs in the defense sector. For example, the new head office of the Belgium Army in Brussels near to the NATO building. We are building together with others. It is a EUR 350 million building. But it can also be -- indeed investment in infrastructure can also have now a defense kind of character as well. It can also be a hangar for planes. So it's a very wide range. It's also housing for soldiers, something that was neglected by governments for decades. And now we need huge investments to get that to, let's say, an acceptable level for people to live in. So margin-wise, of course, we will be very critical there as well and have, yes, let's say, the same kind of criteria for margin as for other projects. So I'm pretty positive there that especially when there is speed required, yes, then also we need to see, let's say, margins linked with that in our portfolio. In the energy transition segment, yes, we see good margins because the parties, our customers there, they see how scarce our capabilities and skills are and are willing to come to realistic pricing if they can trust our delivery. And that's the same in the U.K. as in the Netherlands.
Leontien de Waal: So there are no big differences in margin potential considering the 2 regions, no big differences.
R. Joosten: No, I don't think so. I don't think so. I think it's the same. You see the same kind of project. It's very nice to see, for example, that National Grid, which is a kind of TenneT for the Dutch-speaking audience, comparing to TenneT in the Netherlands. Yes, we are doing for them the same project as we do for TenneT for National Grid. So for example, a land station, bringing energy from the sea, wind energy to consumers on land. So these projects are, let's say, copies of each other and very nice to see that now we brought these companies together with our teams to learn and to get some synergy from these projects. But I don't see a big difference in margins now.
Leontien de Waal: Okay. Maybe to stick to grid congestion a bit. Concerning your property development portfolio in the Netherlands, how much of the development portfolio is impacted by grid congestion, especially as there's what was a huge message from TenneT last week concerning 3 provinces in the Netherlands and acute stop was communicated to happen maybe this summer, start of this summer. How does that affect your property development portfolio?
R. Joosten: Well, I think it's a very valid point, that's one. We also have the nitrogen issue as well in the Netherlands. These are things that are not helping. In BAM, we see it like that, there could be a huge acceleration of homebuilding in the Netherlands if these things were not there. Everybody wants that acceleration. And of course, that would be very profitable for companies like BAM if that would happen. We are pushing and pulling and trying to drive this, let's say, decisiveness in provinces, in communities, but also on a national level to take these barriers out of the way. But it's a pretty complex game in solving nitrogen, solving the congestion. In solving congestion, of course, BAM can play a role. We are doing that in several regions. But yes, again, it needs central direction, I think, to make this happen. So I don't see it as, let's say, a major issue for our actual numbers, but it would be very good, of course, for acceleration of our numbers. That's more, I think, how also, together with our partners in the market and our competitors in the market, we are looking at this. Yes, if you want to build more homes, you have to have some decisive action because you can talk about regions where you need acceleration or breakthrough areas or all kind of building 10 cities. But it's easy to say that. But to have the real central direction and government decisions to make it happen, including nitrogen, including congestion, including necessary infrastructure to these homes, yes, that takes a lot of different decision-making, I think. And that's over the last year is not happening in the Netherlands.
Leontien de Waal: It's a complex issue. Could you give an indication how much -- which percentage of your property development portfolio is related to those provinces in the Netherlands who are impacted most at the moment?
R. Joosten: Yes, that's difficult because indeed, you have the nitrogen issue, you have the congestion issue. Of course, we try to then balance that out. And if we see issues there with these 2 elements, we try to rebalance the portfolio into different directions to still deliver these kind of numbers. And until now that works out fine. For '26, that will work out fine. But yes, longer term, of course, these issues need to be solved. And of course, we are hoping that the new government will take a decisive action there as soon as possible. Ministers will be appointed on Monday, I think. So let's see what happens.
Leontien de Waal: Last question from my side. You mentioned high activity level of nonresidential activities in the Netherlands, especially. In the outlook for 2026, you used the words cautiously, optimistic. Could you elaborate a bit on the nonresidential opportunities in the Netherlands? What kind of segments? Will it be new build? Will it be renovation?
R. Joosten: Yes. You saw that over the last couple of years, it was very difficult to -- for the office market, for example, was really, really difficult, 0 activity or almost 0 activity. There, we see cautiously some activity coming back to the markets -- to the Dutch market anyhow, but also in London, we see the same issue, which is positive. So that's why we're cautiously optimistic about some investment also from institutional investors in nonresidential. Yes, in '25, we had a very good year based on a very good portfolio in the Netherlands. And we see some good wins there as well, for example, with De Sax, for example, in Rotterdam, which is also in nonresidential, but it is in a way residential as well because there are 900 apartments in that building. But also some other wins and some possible wins that we see in our agenda. We see a kind of positive development in 2026 for nonresidential as well in the Netherlands and in the U.K., indeed. Based on our participation in the frameworks, we're also having a very cautiously positive view on U.K. nonresidential.
Dirk Verbiesen: Dirk Verbiesen,[indiscernible]. Question on the outlook and the property development in the Netherlands. Maybe, let's say, 2,000 houses sold in '25 was a bit of a normalized number. As you said, a few hundred were sold to investors in the later part of the year. Taking that as a base for '26 in your outlook, what do you expect in number of houses sold as an assumption in that? And also on average prices sold '25 versus '24? And what do you see in those trends -- in that trend looking at the project pipeline?
R. Joosten: Yes, difficult indeed because these things are heavily impacted by the mix of homes and deals with investors that can make a difference of hundreds of homes. We're cautiously optimistic there as well, looking at you as well, Henri, for this year with the number reached over '25. Looking at developments over the next couple of months, I don't see a big difference there in prices of these homes in '26 as well. So there, I see still positive developments looking at pricing in the market. The number, yes, probably better to, after Q1, look at that and give you a better idea on that one. But yes, is it normalized? Strategy is anyhow to increase the number of home sales for BAM, and that's why we do the property investments. How it exactly will turn out in '26 for me, at this moment in time, I don't know.
H. Pater: No, indeed. So I think it's not needed to deduct all kind of one-offs from the sold houses in 2025. So we see it as a normal figure.
Dirk Verbiesen: Okay. Maybe then on the energy transition, National Grid and TenneT. If you -- can you share what kind of revenues you are realizing in those, let's say, specific segments as it also looks very promising maybe for the next decade plus. What do you realize in those fields?
H. Pater: Yes. That's a really valid question. So if you are looking through the lenses of sustainability projects, roughly 15% of the revenue currently is related to those kind of topics. So we are moving much faster in that direction, which is really helpful, also taking into account that it's really profitable and helpful also to drive our EBITDA in the right direction as well.
Dirk Verbiesen: And then on the legacy projects, you mentioned some specifics on the children hospital and sections being delivered to the customer in the coming weeks, I think, even. When is this project? Can you remind me when should it be fully completed and delivered?
R. Joosten: Well, we mentioned first half of the year. So before summer, we need to deliver the whole hospital. We want to deliver the whole hospital. Sixth floor has been delivered to the customer, and that's really helpful because then they can fit it out with their beds, but also very high-tech equipment that are now, let's say, bringing into the hospital, which is really positive. They're very excited about the building. So it's pretty high quality, which is good to say, after many, many years of construction, the good news is indeed that handing over and commissioning is now in process. I think that's an important step.
Dirk Verbiesen: And in financial terms, there was no negative impact anymore over the course of '25.
H. Pater: No, we settled. Maybe you remember there was a claim somewhere in 2024. The result at this moment in time is stable.
Dirk Verbiesen: And then the Fehmarnbelt, yes, because it's such a recurring topic. Can you give some more details? You said, yes, we are in discussions. We have 12.2% in the consortium. First elements are completed or delivered. So where are you in this process on the construction side and also in the discussions with the client?
R. Joosten: Yes. I think that's absolutely true. And I think we -- since a couple of years, we're pretty transparent on this legacy portfolio we still have from the past. So probably 5 years ago, we had something like 23 of these projects on the agenda. So we had long discussions with you guys all the time about these projects. This year, it's very important indeed like the new children -- National Children Hospital, I have to say, will be delivered to the customer. We have still the Brisbane project where we deliver a metro system to the city of Brisbane in Australia that will be delivered in Q -- well, let's say, first half year '27, I have to be careful. So also in the last phase of the project. And then remaining is the famous Fehmarnbelt tunnel between Denmark and Germany, very complex, huge project. We have 12%, a little bit more. And indeed, like with all these big projects, yes, we are in constant discussion with the customer on how to proceed and how to look at the risks and how to look at the timing of the project. Today, we see the first immersion planned for first half year. So we are now preparing everything to make that happen together with local authorities. And I think that's a big moment. If that happens, that proves as well that this whole system can work. And then for the next 4 years, this will be part of this element or this project will be part of these meetings because there is something like 4 years planning to immerse all the 92 elements of the tunnel, resulting in an 18-kilometer tunnel between the 2 countries.
Dirk Verbiesen: But let's say, on timing of -- so discussions with the clients on finding a solution within those 4 years? Or what should we expect for that?
R. Joosten: Probably you will have these discussions throughout the whole project. Of course, what we try to do is to work together and get this as efficient as possible into the sea. But it's pretty complex and many, many elements are linked to this from a sustainability point of view, from a planning point of view. You have the German government. You have the Danish government. It's pretty complex. Not many tunnels like this were immersed in the world of this size. So I expect this to be, let's say, highly on my list of activity for the next 4 years.
Dirk Verbiesen: Okay. And maybe to round up, in your order book of EUR 13 billion, what is the amount of the legacy portfolio?
R. Joosten: Looking at U.S. [indiscernible] it's pretty small, I think...
H. Pater: Yes, pretty small. As I already said, Brisbane is mostly done. So if you're talking about the delivering of that metro, that's still about commissioning. So the construction work is done. So no big amounts left there. Yes, and then still a 12.2% stake related to FLC.
Dirk Verbiesen: But you can't say in euro million terms, what is?
H. Pater: Not talking about...
R. Joosten: I think far below the 10%...
Dirk Verbiesen: Far below the 10%. And children's -- yes, Children's Hospital is also close to...
H. Pater: That building is already, as explained, complete. It's about commissioning. So the construction work is done. And phasing [indiscernible] hospital [indiscernible] journey. So you need more time to deliver all those stories. So also the remaining part in our order book is really limited.
Martijn den Drijver: Martijn den Drijver, ABN AMRO with a few follow-ups. Well, I guess some pretty specific questions. I'm going to continue a little bit on that front. Completion of the Children's Hospital and commissioning and transfer, should we read that as a final settlement is also quite near? Or can those discussions, mediation or perhaps even arbitration linger on, continue a bit longer than the official handover? How should we think about that?
H. Pater: Yes. So normalized such a case, you deliver the hospital and then there is a final moment in terms of building up your total documentation, your final account. Then we need to submit it to the client, and then there's at least 2 to 4 months discussion about the content and all those kind of stuff. And then still a question how to move forward. Do we have then a final settlement? Or is there still kind of a conciliation part of that process ongoing as well.
Martijn den Drijver: Okay. And taking that into account, that dialogue is still constructive. Now that completion is nearing that parties are taking perhaps a stricter stance given the...
H. Pater: It's always strict. There's quite [indiscernible] component part of it as well, but it's still constructive.
Martijn den Drijver: And then on the tunnel, I understand your cautiousness, Ruud. But the way I read it is that if you can immerse, the trench issue must have been solved. If you immerse, the client has accepted the installation vessel. So some of the hurdles must have been resolved up until a certain extent. That doesn't mean that the discussion about potential costs related to the delays have been resolved. But it seems as though things are moving in the right direction. Is that the right way to think about it? Or should we really be more cautious in...
R. Joosten: Of course, I would wish to say yes to that question, but it's pretty complicated because the trench, of course, is also 18 kilometers. So of course, the immersion is now on the first element is, let's say, 200 meters. So there's still work to do also on the trench, I think, going forward. I don't think that's impossible to do, but I'm cautious because of, yes, technicalities are complex on that trench. And let's see what happens when we start to emerge more elements. But it's an important moment. I fully agree with you. Of course, if that works, then indeed, let's say, the system then proves it can work. That is important for all of us, I think.
Martijn den Drijver: I know that VINCI is the lead contractor within FLC. Are you as BAM consulted on every step on every discussion that you're having with [indiscernible] or even the Danish government?
R. Joosten: Absolutely. I'm personally involved there, yes, to a large extent.
Martijn den Drijver: Moving on. On your trade working capital, if the proportion of nonresi is moving in the right direction and your infrastructure projects and the grid related is moving in the right direction, what would be a normal guidance then for trade working capital? I would assume that it actually becomes more negative.
H. Pater: First of all, we are really happy with the current status. [indiscernible] has already said that the fact that we are now stable for 2 years in a row and expecting for the upcoming period of roughly minus 12% as a kind of a proxy. And I think it's still a healthy number relating to this type of industry.
Martijn den Drijver: Okay. So no major movement at that level. Got it. And then my final question, I couldn't derive the actual amount of the restructuring charge. Was it a material amount in 2025, the restructuring charge?
H. Pater: Yes, a very small number.
Martijn den Drijver: Okay. Then I'm not even going to ask what it is about.
H. Pater: Neglectable.
Unknown Analyst: [indiscernible] a follow-up from my side. You have signed a cooperation agreement with Rolls-Royce SMR for the U.K. and for the Netherlands. Why have you not signed an agreement, a global agreement to offer your services? And what has now become -- with Hochtief also joining this market arena, has it become a threat to you that they might take business outside of the Netherlands and the U.K.?
R. Joosten: No. We have a very specific role in that group of companies. We deliver a patented structure that is necessary or that has the function of protecting the buildup of the reactor. And that's our contribution to this whole system, which then will be removed when the final structure is there. That's the only thing we do in this system, and that's why we were selected by Rolls-Royce to be part of this. So there will be other people involved in the total theme -- of set of things that are necessary to build a reactor like that. But we are the partner for that part of the construction.
Unknown Analyst: Only for the U.K. and for the Netherlands? Or have you signed a new agreement that you will service them throughout Europe?
R. Joosten: No, that's still not clear, to be honest. I think we are still in the phase of getting some evidence that this can work. So there are discussions on building a few of these reactors in the U.K. and some of them in Europe. But it's also a strategic decision we have to take further on for ourselves because we have a very clear strategy to focus on the U.K., Ireland, the Netherlands and Belgium. So any movement outside these regions will be an important decision we have to take.
Unknown Analyst: I understand that, but this is really one specific product, which you build and then remove -- how would say, [indiscernible], but you can build up somewhere else in Europe as well. For example, in Czech Republic, you most likely will build the first one. To have a head start, I would presume that would be very attractive to service.
R. Joosten: That is true. I think it's a repeatable model. But again, I think we are more focused now on getting these things on the road -- to show on the road, to say it maybe with some disrespect because these are nuclear reactors. This is not an easy product, of course. And I think it's really important to have some evidence that this can work, I think especially for the U.K. government as well, where we will be the partner. I think there is time enough for us to think about, let's say, strategies outside our core markets. [indiscernible] really not for tomorrow.
Unknown Analyst: No, no, no. But we're also looking at the long term for BAM. But again, hopefully [indiscernible] might have become then a competitor in this respect?
R. Joosten: Well, that depends then on the very long-term discussions on implementation outside our core activities. I don't know. We have the patent on this system. So we have it in our hands to make that decision strategically going forward.
Michel Aupers: Maybe final question.
Martijn den Drijver: Yes, two. Again, Martijn den Drijver for ABN AMRO. If you take EUR 7 billion as a basis, 6% EBITDA, roughly EUR 400 million in EBITDA, you take out EUR 80 million CapEx, EUR 100 million in leases, EUR 60 million in taxes, you add back some trade working capital flowing. I'm not assuming any M&A, of course, you get to a free cash flow of roughly EUR 200 million. The real question is, why are you so careful with the share buyback? Why just EUR 40 million? Your balance sheet can bear much more than that, and you can even do that on an annual basis if the market continues to operate at this level or you improve. So how did you get to the EUR 40 million?
H. Pater: Yes. As already alluded to also in previous meetings, we do have our capital allocation strategy, which is built upon 4 pillars, looking to our solvency, also our equipment, what is needed to improve our equipment. It's about M&A activities, land bank and indeed the dividends and share buyback. If you look to the total of dividend and share buyback, it's a similar figure compared with a year ago in total and paying 55%. You know about the acquisition there with regard to Blockland, which we are going to organize in the remaining part of this year. And we need a bit more flexibility also for land bank acquisitions as well. So I think it's not really a cautious approach. I think it's a very, how to say, realistic approach.
Martijn den Drijver: Okay. Got it. And then just a final almost bookkeeping question, but provisions and pensions resulted in a positive cash inflow in 2025. How is that possible? What did you provision for?
H. Pater: Yes. Looking to the provisions, we see an increase there, not using it at this moment in time. And that has mainly to do with the fact that our revenue, as already said, growth over time. I think in the last 2 years, roughly 12%. That means your normal warranty related to our obligations with regard to our built environment is also growing as well. We are not utilizing it.
Michel Aupers: Maybe, [indiscernible], the final question, yes.
Unknown Analyst: On the Fehmarnbelt, just from my understanding, the work that you've done over the past period, and let's say, the revenues recognition, of course, is there. But in terms of billing and cash payments by your client, are you on track? Or is there a significant amount of stuck in work in progress because of the ongoing discussions?
R. Joosten: Yes, we never go into details on specifics on projects. That's our normal policy, but it's also out of respect for our JV partners and our customer and the negotiations we are in or discussions we are in. So maybe later, we can come back to this one. But for now, we don't go into the specifics of this project.
Unknown Analyst: And maybe as a last one, the EUR 13 billion order book now versus EUR 13 billion last year, do you sleep better because of the EUR 13 billion as it is today in terms of quality and visibility that you have?
R. Joosten: I sleep better because we had a revenue of EUR 7 billion. So if you look at the EUR 13 billion, you have a revenue of EUR 7 billion and you have again EUR 13 billion. That's a pretty good performance.
Unknown Analyst: And in terms of overall quality?
R. Joosten: Well, we see the quality improving margin-wise, slowly, but steadily. And of course, people expect that to grow maybe even faster. But these are thousands of projects. So to get the whole chain of margins up, yes, that is a long-term game. It's a marathon. And steadily, but slowly, we see that improving, less risk, higher margin coming through the P&L. That's how we play this game.
Simon Van Oppen: One last question, please. Simon Van Oppen, Kepler Cheuvreux. I was wondering on your, let's say, recurring business, long-term maintenance contracts. Can you share roughly for the Netherlands, but also U.K. and Ireland, how much of your revenues is related to more recurring revenues?
R. Joosten: Yes. More and more, we see, of course, like in the facility management, you have long-term contracts. So there it's easily to calculate. But more and more in all our other businesses like civil engineering, for example, you see that we have long-term relationships with, for example, SSE in Scotland and with TenneT in the Netherlands is that recurring revenue in definition. For us, it almost is because we see already the pipeline for the next 5 to 10 years. Same with companies like Enexis, for example, in the Netherlands and the local energy providers. We also have 10-year kind of contracts. In Contract U.K., you see more and more that our business is in education, like Henri is saying, these are frameworks. Is it recurring. From a definition point of view, we can debate. But in that framework, we see for 7 years, for example, business coming to us not per default, but it happens like that, of course. So more and more, let's say, our business is in a long-term kind of approach. Also the number of customers is decreasing all the time, and we are focusing on less customers with long-term frameworks or long-term contracts. Sometimes we have a one-off project that can happen. We are not against it. But strategy is to work within these frameworks and have, let's say, fewer customers with long-term relationships. The percentage, well, I think it's already a big percentage of our revenue today. I don't have it behind the comment, but...
H. Pater: Yes, that's a bit depending upon the definition of [indiscernible]. But I think in the meantime, quite a significant number.
Michel Aupers: Okay. Thank you very much. Ladies and gentlemen, this brings the meeting to an end. We hope to welcome you in the near future. Thank you, and have a good day.